John F. Dolan: Good afternoon, everyone. Thank you for joining us today to discuss PetVivo's results for our fiscal year 2025, which ended on March 31, 2025. Hosting the call today is our Chief Executive Officer, John Lai; our Chief Financial Officer, Garry Lowenthal; our Commercial and Operations Adviser, Mike Eldred; and myself, John Dolan, PetVivo's Chief Business Development Officer and General Counsel. Following our remarks, we'll open the call to your questions. Then before we conclude today's call, I'll provide some important cautions regarding the forward-looking statements made during the call. I'd like to remind everyone that today's call is being recorded with the recording made available for replay per the instructions in today's press release, which is available in the Investor Relations section of our website. I should also note that we filed for an extension today for our Form 10-K filing in order to allow our auditors to complete their audit for the fiscal year. Therefore, all financial results presented during today's call are unaudited preliminary estimates and are subject to change until our Form 10-K is filed. Now turning to our results for fiscal 2025. It was a strong and very productive year for PetVivo as we continue to expand the use of our lead animal osteoarthritis veterinary medical device, Spryng with OsteoCushion technology. We also strengthened our platform with the additions of technologies from new major partnerships we formed during the year, innovative technologies involving diagnostics and medical treatments that we expect to be transformative for both our platform and the veterinarians we serve. Since the market introduction of Spryng in the fall of 2021, this product has now been used by more than 1,000 veterinary clinics across all 50 states. And now with the recent addition of our first distributor in Mexico, we can include a number of new international clinics in that country. We see Mexico as a very attractive market for us with the veterinary health care market there projected to grow at 6% CAGR and nearly $2 billion by 2024 -- I'm sorry, 2026. This includes a particularly strong equine market with horse ownership deeply intertwined with Mexican culture and tradition. Our North American expansion, particularly with our distribution network, helped drive a 17% increase in revenues in fiscal 2025 to a record $1.1 million. Our expanded nationwide distributor network contributed sales of $958,000 or 86% of this total. These results reflect the success of our marketing and sales efforts, which still have a strong focus in the equine market with an increased effort to expand into the much larger and faster-growing companion animal market. This greater expansion into the companion animal market, such as for dogs and cats, involved a full realignment and expansion of our sales force during this year. This has resulted in an increased portion of our overall revenues generated for the companion animal market while maintaining a steady gain in the equine market. Meanwhile, we've been able to maintain favorable high gross margins at 87.8%. To support and further drive this growth, during the year, we deployed several new highly experienced territory managers nationwide as well as added professional sales representatives and technical service veterinarians to support them. These new internal sales reps and technical service veterinarians are also supporting our in-house direct sales and marketing teams as they further develop relationships with the nation's leading veterinary clinics, veterinary corporate entities, consolidators and distributors. Also during the year, we strengthened our Board and leadership team with the appointment of Mike Eldred to our Board of Directors and then with his appointment as a commercialization and operations adviser. In this position, he has been championing our refocused operations and commercialization efforts. Mike has brought to us more than 30 years of executive experience in animal health and the veterinary industry. Most notably, he built Dechra Pharmaceutical's North American subsidiary into one of the fastest-growing companies in the industry with more than 250 employees and annual revenue exceeding $450 million. His experience and strong record of achievement in pharmaceutical and animal health provides us a tremendously valuable resource for achieving our business goals. Now before we get into some of the other exciting developments and our outlook for the new fiscal year, I would like to turn the call over to our CFO, Garry Lowenthal, to take us through more of the financial details for fiscal 2025. Garry?
Garry N. Lowenthal: Thanks, John, and good afternoon, everyone. Thank you for joining us today to discuss our preliminary unaudited results for our fiscal year ended March 31, 2025. As John mentioned, we filed for an extension today for our Form 10-K filing in order to allow our auditors to complete their audit for the fiscal year, particularly to complete the review of accounting for derivatives. The following financial results are unaudited preliminary estimates and are subject to change until we file our Form 10-K with the SEC in the next week or so. We expect to report revenue growth of 17% growth for the fiscal year, totaling a record $1.1 million. This growth was largely driven by our expanding nationwide distributor network with their combined sales increasing 31% to $958,000 and representing 85% of our total revenue for the year. Gross profit totaled $995,000 or 87.8% of revenues in fiscal '25. This represents an increase of 15% compared to $867,000 or 89.5% of revenues in fiscal '24. Our operating expenses decreased 21% to $9.1 million compared to $11.5 million in fiscal year '24. The substantial reduction in expenses was due to our strategic company-wide cost reduction and restructuring program that we implemented during the year. We decreased our general and administrative expenses by 28% and sales and marketing expenses by 23% while creating more efficient and effective operations. These decreases were partially offset by an increase in research and development of 13% to support new clinical trials that demonstrate the benefits and effectiveness of Spryng. Net loss totaled $8 million or $0.39 per share in diluted -- basic and diluted per share, which was an improvement of 27% from a net loss of $11 million or $0.78 per basic and diluted share in fiscal '24. The net cash we used in operating activities decreased by 40% or $2.9 million savings compared to fiscal 2024. This was again primarily due to the strategic company-wide cost reduction and restructuring program implemented in fiscal '25. Now turning to our preliminary unaudited balance sheet. Cash and cash equivalents totaled $227,689 at March 31, '25, compared to $87,403 at March 31, '24. The increase was primarily due to the proceeds from equity finances we conducted during the year. Our total assets increased to $9.3 million at March 31, '25, compared to only $3.1 million in March 31, '24. Subsequent to the fiscal year-end, beginning April 1 of this year, we raised net proceeds of $4.7 million to support our growth strategies for fiscal '26. The funding was a result of a successful offering of a $5 million in Series B convertible preferred stock, which was fully funded in multiple tranches, which we announced as closed on June 24, '25. The proceeds have been earmarked to support the further commercialization and market penetration of our lead animal health products. As a result of the financing, our cash and cash equivalents in the bank today is approximately $3.3 million. This completes our preliminary financial summary for the year. John?
John F. Dolan: Thank you, Garry. Our overall strategy to drive the greater adoption of Spryng and more recently, PrecisePRP has been to expand the awareness and of the effectiveness and benefits of both these innovative products among key decision-makers and to do this at an increasingly greater scale. Toward this end, during the year, we exhibited at several major veterinary conferences across the country, 7 in total, as well as participated in several smaller veterinarian specialty events. These events have presented valuable opportunities to demonstrate the advantages of Spryng and PrecisePRP to key decision-makers and show firsthand the beneficial results from administering Spryng and/or PrecisePRP to horses and companion animals, with this provided by both many anecdotal reports of the benefits of Spryng and PrecisePRP as well as by the numerous clinical studies of Spryng published by leading independent investigators. From these events, we have also gained a better understanding of our target market and the types of veterinarians we should be more focused on. This includes vets who specialize in sports medicine, rehabilitation, pain management as well as surgery. Such specialties in the veterinary medical field have increased in recent years, primarily due to the many advancements made in veterinary science, the growing population of pet owners and their desire for specialized care. This trend is being driven by other factors such as the aging pet population, more owners treating their pets like family and the greater availability of advanced diagnostics and treatment options. The increasing use of pet insurance is also helping to make such treatments more accessible and affordable. All these trends bode very well for the greater adoption of Spryng and PrecisePRP as well as the other new products offerings we intend to add to our platform. Also during the year, we continue to accumulate impressive data from a new canine elbow study being conducted by Orthobiologic Innovations, a leader in R&D and regenerative and sports medicine. The case study is being led by 2 prominent veterinarians, Sherman and Debra Canapp, and we expect it to be completed before the end of the calendar year. Studies like this canine elbow study as well as other published studies related to the management of stifle, cranial cruciate ligament disease, and hip osteoarthritis continue to play a crucial role in our sales and distribution strategy. This is because veterinarians as well as large national and international distributors generally desire university or independently conducted research before adding a product like ours to their treatment regimens or distribution catalog. Our internal sales team and outside distributors have been leveraging these published studies in their commercialization programs through Spryng, and additional studies will further support their promotional efforts and veterinarian training for Spryng. We should also note that our market awareness of Spryng has been greatly elevated with our advisory Board member, Tracy Turner, being inaugurated as President of the American Association of Equine Practitioners at their annual conference last year. Tracy is widely recognized for his pioneering use of thermography as a diagnostic aid in horse lameness evaluation and its beneficial use in horse welfare regulation. He has published many noted studies and has lectured nationally and internationally on these topics. Finally, I want to inform you that in March of this year, we entered into what we see as a groundbreaking, if not transformative strategic alliance with Digital Landia, a pioneer in agentic AI solutions. Our collaboration with Digital Landia centers on their pet AI, a revolutionary technology that deciphers animal behavior and communication through real-time analysis of vocalizations, body language and physiological signals captured via smartphone cameras with an amazing 97% accuracy. Digital Landia's agentic AI represents a paradigm shift in how we understand our pets. By aligning our clinically proven therapies with this technology, we have uniquely positioned PetVivo at the intersection of AI innovation and veterinary care. We anticipate pet AI will rival mainstream AI applications in adoption rates, creating unparalleled visibility for our brands, including Spryng and PrecisePRP. This technology is currently being integrated with our veterinary products as a first-of-kind global pet care ecosystem. With initial beta testing now underway, we're looking forward to announcing some amazing results. Now I'll provide a financial and operational overlook. Altogether, the cross-pollination of these technologies is creating exciting new future for PetVivo, one that is transformative for not only PetVivo, but also for veterinarians and the precious patients they serve. As a result of these many inroads we have made at conferences over the past year, combined with our expanded sales force and distributor network and more efficient operational structures, we expect to continue to see strong sales momentum and market penetration in fiscal 2026. In fact, we have never been in a greater position to accelerate our growth and expand into our high-growth markets over the coming year and beyond. The U.S. animal health market is projected to double to $11.3 billion by 2030. Such massive growth is rare for such an already large industry, and it provides us tremendous tailwinds. As we continue to grow and expand, we remain committed to advancing the best in pet health solutions and ensuring that our products reach more veterinary professionals and pet owners. For fiscal 2026, we look forward to building upon the many advancements we made over the last year and driving greater value for our stakeholders. Now to talk about some of the other exciting developments over this past year and more recently, I would like to turn the call over to our commercial and operations adviser, Mike Eldred. Mike?
Michael Eldred: Thank you, John, and good afternoon, everyone. During the year, we greatly strengthened our commercial team with the appointment of April Boyce to the new position of Vice President of Sales and Marketing. April has over 25 years of experience in marketing, sales, strategic partnerships and global product licensing, including executive positions at Procter & Gamble and Clorox. Her efforts have been truly transformative for our company as we have worked to grow the equine market and further expand into the companion animal market. Additionally, we enhanced our commercialization impact by restructuring Bryan Monninger role to Vice President of Distributor Relations and Corporate Accounts. Bryan has more than 20 years of experience in sales, marketing and strategic partnerships as well as leading efforts to secure outside distribution and large corporate accounts. Bryan previously held executive positions at Hill's Pet Nutrition, Novus International and Lintbells. To further extend our market reach, we added Vedco and Clipper Distributing to our nationwide distributor network. Both partners have quickly ramped up and collectively contributed more than $483,000 in sales during the last 4 months of the fiscal year. Vedco and Clipper are known in the industry as the primary distributors to the national and regional distributors. They supply veterinary products to the largest veterinary product distributors in the United States, including MWI, Covetrus, Patterson, Midwest Vet Supply and Penn Vet. We have also expanded our technology platform with the signing of an exclusive licensing and supply agreement with VetStem, which provides us the right to commercialize their revolutionary PrecisePRP, which is an allogeneic platelet-rich plasma or PRP product for horses and dogs. This is a first-in-class, off-the-shelf, platelet-rich plasma product developed for use by veterinarians and currently the only animal cell and tissue product approved for safety by the Center of Veterinary Medicine. Additionally, we announced a strategic collaboration with Commonwealth Markets, the syndicated ownership group behind 2023 Kentucky Derby winner Mage and 2022 Dubai World Cup Champion Country Grammer. Our partnership with Commonwealth is centered on the clinical use and promotion of Spryng and PrecisePRP. As part of the collaboration, Commonwealth will integrate Spryng and PrecisePRP into the care protocols of its top-tier thoroughbred stable, where it will use the technology as both a preventative measure and a treatment solution to promote joint health and extend performance as well as support recovery in high- impact training and racing environments. In addition to the clinical implementation, together, we plan to explore co-branded content, educational initiatives and industry outreach designed to elevate awareness around joint wellness and to support the broader adoption of Spryng and PrecisePRP across the equine health community. Partnering with Commonwealth, a leader and the highest level of the sport, makes a major -- marks a major milestone for both Spryng and PrecisePRP. Their championship-caliber horses and progressive approach to wellness makes them the ideal partner to showcase the benefits of our technology. In addition, we recently announced a strategic partnership with PiezoBioMembrane, a pioneer in biodegradable piezoelectric materials intended for implantable applications. Together, we plan to advance the research and development of revolutionary functional biomaterials, which promote regeneration and/or remodeling of damaged or issue -- or injured tissue and bone in animals and humans. Altogether, these new technologies, partnerships and expanded commercial team have created an exciting future for PetVivo, and it will all be well received by veterinarians and the patients they serve. Now I'd like to turn the call over to our CEO, John Lai, to answer any questions about the company's performance this past year and our outlook for the coming year. John?
John Lai: Thank you, Mike. Operator, would you please instruct the callers on how to ask questions using their keypad or computer?
Operator: [Operator Instructions] We have one question for number ending 471.
Unidentified Analyst: Great presentation and wonderful results. How much dilution do you expect from the conversion of the Series B preferred?
John Lai: So that's on a one-to-one basis. So it was sold at a premium. So we did it at $1 a share and 1 preferred converts into 1 common. Keep in mind when we did the initial transaction for the first $600,000, our stock was trading at $0.55. So we're pretty proud of the ability to get a deal done in these market conditions at a premium because everybody else is doing it at a 40% discount with protective warrant options. So it would be an additional 5 million shares, if it gets all converted, yes.
Operator: We have another question from number ending with 652.
Unidentified Analyst: John, what is the average price per vial of the Spryng injection that veterinarians are charging for the canines?
John Lai: So on average, the veterinary doctors charge like $800 per joint, but that varies between country -- I mean, parts of the country and the veterinary doctors and if they're specialists. We have seen prices ranging from $500 to $1,200 for the same injection, but it varies. It all depends on the complexity of the problem. But to give you an example of a competitive product that's been recently introduced in the market, it would be Librela, which is a monoclonal antibody that injects -- and it's basically masking the problem by blocking the pain receptor -- or to the brain. And that injection is $150 a month for the life of the animal. So every month, you would have to go into the veterinary doctor to get the injection.
Unidentified Analyst: Okay. Is -- that $500 to $1,200, is that based on volume discounts to the veterinary clinic or how...
John Lai: No, that's what the vet would charge. We're not allowed to give what the vets are paying because that's part of the distribution agreement is that, that price is confidential. But what I quoted, the $800 per joint, is what is typically charged by the veterinary doctor.
Unidentified Analyst: Okay. I was going to ask that next. What was the price that they actually purchase that from...
John Lai: Well, you got a pretty good idea by looking at our gross profit margin that we publicly reported.
Operator: [Operator Instructions] We have another question from a user ending with -- a number ending with 853.
Unidentified Analyst: John, can you talk a little bit about the human trials and how that -- what that's projected to do and the path that's going on?
John Lai: I'm going to assume you're talking about our partnership up with Piezo where they have done small animal studies, and they're in the large animal studies. So that's the spin-off with the trials being done at University of Connecticut. So we're pretty excited about that because we're seeing some pretty good results in the small animals and large animals. The intent and future application would obviously be looking at the human side. And what we have found is that Spryng with their nanofiber technology and using the ultrasound to create the electrical field that has created an atmosphere or a setting where we're seeing really good movement of regeneration within the scaffolding that we establish with our combined products. So what's happening is it's creating a rapid acceleration of enzymes and growth factors to go into the area where there has been damage. And from what we saw in some of the early evidence of their studies that they released, it shows a very good likelihood that it could be repeated within the human market. And if you look at the human market for osteoarthritis, it's about $11.2 billion in the United States and about $33 billion on a global basis, and that's for joint replacements, hip surgeries and knee surgeries. Obviously, we hope that the product will be able to show very good efficacy as we go into that space on the human side. Is there any other questions?
Operator: [Operator Instructions]
John Lai: Well, if there's no more questions I would like to once again thank everybody for dialing into today's call. We're looking forward to talking to you again soon and presenting our first fiscal quarter results. We again report them in August. As always, take care, and thank you for joining us today. And we turn it over to John Dolan where we'll give the wrap-up and his normal legal disclosures.
John F. Dolan: Thank you, John. Now before we conclude today's call, I would like to provide the company's safe harbor statement that includes cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to, statements regarding the company's future revenue, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and market related to its business. Any forward-looking statement made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to, various risks as detailed in the company's periodic report filings with the U.S. Securities and Exchange Commission. For more information about risks and uncertainties associated with the company's business, please refer to the management's discussion and analysis of financial conditions or results of operations and Risk Factors sections of the company's SEC filings, including, but not limited to our annual report on Form 10-K and quarterly reports for Form 10-Q. Any forward-looking statements made during the conference call speaks as of today's date. The company expressly disclaims any obligations or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statements are based, except as required by law. I would like to remind everyone that this call will be available for replay starting later this evening or at the latest by early tomorrow morning. Please refer to today's earnings release for dial-in replay instructions available via the company's website at www.petvivo.com. Thank you for attending today's presentation. This concludes the conference call.